Operator: Ladies and gentlemen, thank you for standing-by and welcome to the Q4 2019 Amdocs earnings conference call. At this time, all participants are in a listen-only mode. After the speaker presentation, there will a question-and-answer session. [Operator Instructions]. Please be advised that today's conference is being recorded. [Operator Instructions]. I would now like to hand the conference over to your speaker today, Mr. Matt Smith, Head of Investor Relations. Thank you. Please go ahead, sir.
Matt Smith: Thank you. Before we begin, I would like to point out that during this call, we will discuss certain financial information that is not prepared in accordance with GAAP. The company's management uses this financial information in its internal analysis in order to exclude the effect of acquisitions and other significant items that may have a disproportionate effect in a particular period. Accordingly, management believes that isolating the effects of such events enables management and the investors to consistently analyze the critical components and results of operations of the company's business and to have a meaningful comparison to prior periods. For more information regarding our use of non-GAAP financial measures, including reconciliations of these measures, we refer you to today's earnings release, which will also be furnished with the SEC on Form 6-K. Also, this call includes information that constitutes forward-looking statements. Although we believe the expectations reflected in such forward-looking statements are based upon reasonable assumptions, we can give no assurance that our expectations will be obtained or that any deviations will not be material. Such statements involve risks and uncertainties that may cause future results to differ from those anticipated. These risks include, but are not limited to, the effects of general economic conditions and such other risks as discussed in our earnings release today and at greater length in the company's filings with the Securities and Exchange Commission, including in our annual report on Form 20-F for the fiscal year ended September 30, 2018, filed on December 10, 2018, our Form 6-K furnished for the first quarter of fiscal 2019 filed on February 19, 2019, the second quarter of fiscal 2019 on May 28, 2019 and the third quarter of fiscal 2019 on August 19, 2019. Amdocs may elect to update these forward-looking statements at some point in the future however the company specifically disclaims any obligation to do so. Participating on the call with me today are Shuky Sheffer, President and Chief Executive Officer of Amdocs Management Limited and Tamar Rapaport-Dagim, Joint Chief Financial and Operating Officer. And with that, I will turn it over to Shuky.
Shuky Sheffer: Thank you Matt and good afternoon to everyone joining us today. I am pleased to report strong operating results for fourth fiscal quarter, this highlights of which included an exciting new agreement with AT&T, significant managed service extension at U.S. Cellular, T-Mobile's Metro pre-paid and Telkom South Africa and some new strategic wins in Amdocs media. Altogether, we maintained our high win rate, extended our market-leading position and exited Q4 record 12-month backlog that was up roughly 4% for the year ago quarter. Regarding fiscal 2019, we successfully met our financial targets for the year, which was my first as Amdocs' CEO. To briefly recap on our annual performance. We delivered record revenue, which was up 4% in constant currency and in line with the midpoint of our guidance. This performance includes revenue decline 12% at AT&T that was higher than what we originally expected at the beginning of fiscal 2019. However, we will more than offset this headwind with strong growth in the broader North America, Europe and rest of the world. A growth area was managed services, which had its best ever year. This was driven by the continued ramp up of managed transformation activities with new customer activity, VIL and Sky Italy and was support by the multi-year extension of several pre-existing agreement that highlighted the trusted partner relationship and value position we continue to bring to our long-standing managed services customers. Fiscal 2019 was also notable for our stable profitability and healthy cash collection as we focused on reaching key invoicing milestone of many transformation project we believe are essential for our market position in the long- term goals. As such, we exceeded our full year target for normalized free cash flow of $600 million, a majority of which we returned to shareholders through our quarterly share repurchase and dividend program. Moreover, we delivered a non-GAAP earnings per share growth of 6.9%, which is in line with the high-end of the original guidance range of 3% to 7% that we published last November. Now, let me provide some color regarding our regional business activities in Q4 and the market dynamic we expect to see in the year ahead. Beginning with North America. We closed our fiscal 2019 with a stable fourth quarter performance. Consistent with our guidance, revenue from AT&T stabilized around the levels of Q2 of our fiscal second half. Additionally, we extended our long-standing managed services agreement with U.S. Cellular for five years and began the integration of TTS Wireless which contributed several million dollars of revenue this quarter. Regarding the outlook in North America. Service providers are making strategic investment in areas such as digital transformation, wireless and PayTV convergence and cloud-based 5G networks. As we said few quarters ago, 5G will enable many new business and consumer use cases over the next few years. The support and monetization of which will create demand for sophisticated solutions that Amdocs is well positioned to provide. Along this line, we are today excited to announce that we are extending our collaboration with AT&T to modernize and update AT&T's digital business support system. Let me ma a few points here. First, our activities will be structured under a multi-year agreement that we believe improve our long term revenue visibility. Second, the alliance will be expanded to include activities in strategic areas such as data analytics and security in addition to existing experience and digital enablement program. Third, the new agreement provides a solid foundation on which Amdocs can provide additional long term value to AT&T as we seek to support these various growth strategies for the next several years. Overall, we believe this agreement is a testament to our deep relationship spanning many decades with AT&T and we look forward to further strengthening our partnership as the communication and media industry continues to innovate at an unprecedented pace. Regarding the broader North America. Customer activity level remained generally healthy although we are seeing some indication of softness related to the delayed merger of T-Mobile and Sprint. As we said before, consolidation activity like this often present long-term opportunities for Amdocs. So we remain focused on demonstrating the future value we can bring to the combined T-Mobile, Sprint assuming the deal proceeds. In the meantime, our relationship remains strong as shown by T-Mobile's recent selection of Amdocs MarketONE, our new subscription monetization solution for onboarding partners more efficiently and by the multi-year expansion of our managed services agreement can support T-Mobile's Metro prepaid business. To summarize the outlook in North America. The market dynamics should support modest growth for Amdocs in fiscal 2020 assuming year-over-year revenue stability at AT&T, generally healthy level of activity in the broader business and the full year contribution from TTS Wireless. Moving to Europe. We produced a strong quarter to close our best year in more than a decade. Among the Q4 highlights, we completed a significant milestone in the business driven digital transformation program we are delivering to Three Ireland. Additionally, our NFV solution was selected by VodafoneZiggo to enable Dutch enterprises in their move to service cloud networks, while in Denmark and Norway, Telia extended their managed services agreement with Amdocs for its digital business systems. I am pleased to say that our premium sales momentum has also continued in Q1. We have been awarded a strategic transformation project in Vodafone Germany, one of the largest of its kind in the world. This deal will support Vodafone integrated communications strategy following its recent acquisition of Liberty Global's German PayTV assets and serve as a prime example of how global communication companies are transforming their business to deliver a digital customer experience, increase IT velocity and reduce cost. With a world like this, our European business is positioned for another year of solid growth in fiscal 2020 but we will of course closely monitor macroeconomic developments in the region. Turning to the rest of the world. We delivered a solid Q4 and finished a record year with revenue surpassing $900 million for the first time. During Q4, Telkom South Africa selected Amdocs to modernize and manage its business support operation under a multi-year service agreement and Telefónica Vivo, the largest mobile operator in Brazil, signed a multi-year agreement with Vubiquity for TV on-demand content licensing. Regarding the outlook in rest of the world, we believe we are well-positioned to continue supporting the region's growing appetite for digital transformation and managed services but we remind you that quarterly trends may fluctuate, given the project orientation of our activities in these regions. To summarize my initial comments. We believe fiscal 2019 was a strong year in which we improved our market leadership with innovative solutions in strategic areas like digital transformation, managed services, PayTV, media, 5G next generation open network. We believe the innovation we bring to the market is complement to our M&A activity, which we had also executed over the years to expand our customer base and diversify in new adjacencies closely related to our core domain. A prime example is Amdocs media, which includes the acquired assets like Juice Worldwide, a division of Vubiquity, that was just awarded Netflix's preferred vendor of the year. I am also pleased to say that the value position of Amdocs media's model was recently validated by a major content owner for which we will support the distribution of its vast content library under a multi-year managed services agreement. Similarly, we continue to see momentum in digital subscription monetization where we recently added new Vindicia logos which include GateHouse Media, [indiscernible] mobile and RedPocket Mobile. Looking ahead, we remain committed to M&A as a vehicle through which execute our strategic growth initiatives, possibly utilizing debt where appropriate. That said, we are disciplined in our approach and will only act when we find the right strategic targets at the right price and at the right time. Now let me wrap up with some comments about the year ahead. With respect to fiscal 2020, to mark the eighth consecutive year in which we have delivered expected total shareholder returns in the mid to high single digits including non-GAAP diluted earnings per share growth of 3% to 7% plus of dividend yield. The outlook assume a total revenue growth within the range of roughly 2% to 6% on a constant currency basis and reflected our record 12-month backlog and the positive sales momentum we are already seeing in Q1. We expect to return roughly 100% of our normalized free cash flow to shareholders in fiscal 2020, subject to factors such as M&A, financial markets and prevailing industry conditions. To support this, our Board has authorized an additional share repurchase plan of $800 million with no expiration date which we will execute at the company's discretion going forward. Additionally, I am also pleased to announce proposed 16% increase in the quarterly cash dividend for the seventh consecutive year, subject to shareholder approval at the Annual General Meeting in January 2020. With that, let me turn the call to Tamar for her remarks.
Tamar Rapaport-Dagim: Thank you Shuky. Fourth fiscal quarter of $1.3 was at the midpoint of our guidance range on a constant currency basis after adjusting for the negative impact of approximately $5 million of foreign currency movement relative to guidance. Our fourth quarter guidance range had assumed a sequential positive impact from foreign currency fluctuations of approximately $2 million as compared to Q3. On a year-over-year basis, our fourth quarter revenue grew by 2.8% as reported and 3.6% after adjusting for foreign currency headwinds of approximately 80 basis points. Consistent with our guidance, Q4 revenue included a partial quarter revenue contribution of several million dollars from TTS Wireless, the acquisition of which we closed early August. Our fourth fiscal non-GAAP operating margin was 17.3%, consistent with the higher end of our long term target range of 16.5% to 17.5%. Below the operating line, non-GAAP net interest and other expense was $2.5 million in Q4. For forward-looking purposes, we continue to expect non-GAAP net interest and other expense in the range of a few million dollars quarterly due to foreign currency fluctuations. Diluted non-GAAP EPS was $1.08 in Q4, above the midpoint of our guidance range of $1.04 to $1.10. As anticipated, our non-GAAP effective tax rate of 16.1% was above the midpoint of our annual target range of 13% to 17% in the fourth fiscal quarter. Diluted GAAP EPS was $0.90 for the fourth fiscal quarter, above our guidance range of $0.81 to $0.89. Free cash flow was $179 million in Q4. This was comprised of cash from operations of approximately $214 million less $34 million in net capital expenditures and other. Normalized free cash flow for the quarter was $190 million, which is an improvement relative to $89 million a year ago. For the full year fiscal 2019, normalized free cash regeneration was $613 million, which was better than our expectations of about $600 million and equivalent to a conversion ratio of 103% relative to non-GAAP net income. Please refer to the reconciliation table provided in our Q4 earnings release for an explanation of the difference between normalized and reported free cash flow in the quarter and for the full year. DSO of 87 days decreased by one day year-over-year. We remind you that DSO may fluctuate from quarter-to-quarter. the sequential gap between unbilled receivables and deferred revenue widened by $22 million as compared to the third fiscal quarter of 2019, reflecting an increase in total unbilled receivables of $21 million and a decrease in total deferred revenue, both short and long term of $1 million. Relative to a year ago, the gap actually improved by $17 million, primarily due to the timing of contract specific milestones relating to the transformation projects we are delivering for our customers. Moving forward, you should expect unbilled receivables and total deferred revenue to fluctuate from quarter-to-quarter in line with normal business activity. Moving on. Our 12-months backlog was a record of $3,490 million at the end of the fourth fiscal quarter, which is up $90 million sequentially from the end of the prior quarter and equivalent to a year-over-year growth of roughly 4%. Our 12-months backlog was primarily driven by the signing of new deals during the quarter, including the agreement with AT&T and the consolidation of TTS Wireless but does not include the transformation project award with Vodafone Germany, which we signed in the first quarter of fiscal 2020. As a reminder, we believe our 12-months backlog continues to serve as a good leading indicator of our forward-looking revenue. Our cash balance at the end of fourth quarter was approximately $472 million and reflects the acquisition of TTS Wireless, which we closed for approximately $50 million in cash. During the fourth fiscal quarter, we repurchased $90 million of our ordinary shares under our current authorization. We had $239 million remaining under that authorization as of September 30 and our Board has today authorized another repurchase plan of $800 million with no stated expiration date. Now, turning to our outlook for the first fiscal quarter of 2020. We expect revenue to be within a range of $1.15 billion to $1.55 billion including a full quarter contribution from TTS Wireless. Embedded within our Q1 revenue guidance, we anticipate a sequential negative impact from foreign currency fluctuations of approximately $1 million compared to Q4. For the full fiscal year 2020, we expect total revenue growth within the range of roughly 1.5% to 5.5% as reported and roughly 2% to 6% on constant currency basis after adjusting for an expected negative impact from foreign currency fluctuations of about 0.5% point relative to exchange rates prevailing at the end of our fourth quarter fiscal 2019. As Shuky indicated earlier, we expect all three of our operating regions to contribute to revenue growth in fiscal 2020. To assist you in your modeling, we expect ramp up of recent projects will contribute to an acceleration in the rate of year-over-year revenue growth in the fiscal second half. Additionally, our revenue outlook includes just over a point of growth from the recent acquisition of TTS Wireless. We anticipate our non-GAAP operating margins to be consistent with the higher end of our unchanged target range of 16.5% to 17.5% over the full fiscal year 2020. Due to investments required to support ramp up of new deals, non-GAAP operating margins in the first half of the fiscal year might be slightly lower than the second half but are still expected to remain at or above the guidance midpoint of 17%. We expect our non-GAAP effective tax rate to remain within the same target range of 13% to 17% for the full fiscal year 2020. We expect the first fiscal quarter diluted non-GAAP EPS to be within the range of $1.02 to $1.08. With respect to Q1, we expect our non-GAAP effective tax rate to be above the high-end of our annual target range of 13% to 17%. Our first fiscal quarter non-GAAP EPS guidance incorporates an expected average diluted share count of roughly 136 million shares and the likelihood of a negative impact from foreign exchange fluctuations in non-GAAP net interest and other expense. We excluded the impact of incremental future share repurchase activity during the first fiscal quarter as the level of activity will depend on market conditions. For the full fiscal year, we expect to deliver diluted non-GAAP EPS growth of 3% to 7%. Additionally, our full year EPS outlook incorporates our expected repurchase activity over the year and a neutral impact from the acquisition of TTS Wireless. As for the impact of TTS Wireless on GAAP results, this will not be known until after Amdocs completes the purchase price allocation for the acquisition. We expect normalized free cash flow for fiscal year 2020 of approximately $480 million, which includes a slow start to the year, followed by significantly stronger second half. Normalized free cash in the first fiscal half, we reflect the initial impact of the new deal with AT&T as well as setup costs we expect to incur during the establishment phase of [indiscernible], required working capital investment related to the ramp up of recent transformation award and the timing of annual bonus payments in Q2, just as we see every year. We expect normalized free cash flow will improve significantly in the second half of fiscal 2020 reflecting a conversion rate of 100% or better relative to non-GAAP net income. Including anticipated capital expenditure of roughly $120 million associated with the multi-year development of our new campus in Israel and other items, we expect reported free cash flow of roughly $350 million in fiscal 2020. Regarding our capital allocation plan. We expect to return roughly 100% of our normalized free cash flow $480 million in fiscal 2020. This includes our quarterly share repurchase program, for which our board has today authorized an additional $800 million with no stated expiration. In total, we now have more than $1 billion of authorized capacity for share repurchases which we will execute at the company's discretion going forward. As a reminder, we retain the flexibility to vary the level of share repurchase activity from quarter-to-quarter, depending on factors such as the outlook for M&A, financial markets and prevailing industry conditions. Additionally, we expect the total return we deliver to shareholders will be enhanced beyond the earnings growth outlook by our dividend program which, if the new quarterly dividend rate of $0.328 per share is approved by shareholders at the Annual Meeting in January, would yield about 2% on the current share price. Therefore, we expect the sum of our diluted non-GAAP EPS growth plus the dividend yield to equate to a total shareholder return in the mid to high single digits for the eighth consecutive year in fiscal 2020. With that, we can turn it back to the operator and we are happy to take your questions.
Operator: [Operator Instructions]. Our first question comes from Tom Roderick with Stifel. Your line is now open.
Tom Roderick: Yes. Hi. Good afternoon. Thank you for taking my questions.
Tamar Rapaport-Dagim: Hi Tom.
Tom Roderick: So let me just address the backlog here for a second. So $90 million sequential backlog, that's a level of increase we haven't seen in quite a long time and really not anything close for a long time. So when I look at some of these deals, it looks like there was certainly some pent-up demand. The AT&T deal, in particular, looks very, very interesting. Can you just talk about that new deal activity environment that you are seeing? Is there pent-up demand, particularly in the U.S.? And should we expect to see a little bit more of that as an impact to backlog going forward? Or should we just view this $90 million increase as a bit of a waft?
Tamar Rapaport-Dagim: Look, the $90 million is indeed an exceptional sequential increase. As you said, we have not seen for many years. And I think it's a combination of primarily the AT&T deal that we talked about as well as the fact that in addition to that we have the factors of TTS Wireless coming into the backlog as well as several other awards. You have seen the announcements that we have shared and this was just examples. It's not the full list of deals. So I think the combination of all of that contributed to a significant increase. Now looking forward, we already have as of now, the knowledge of signing the Vodafone Germany transformation in Q1. And in addition to that, as we said, we feel we have a solid pipeline. So I don't think you should expect now this kind of magnitude of backlog increases from quarter-to-quarter. But we are pretty much feel good about what we think in terms of the pipeline and the ability to convert that into deals.
Tom Roderick: Excellent. Okay. Congratulations on that.
Tamar Rapaport-Dagim: Thank you Tom.
Tom Roderick: So Tamar, can you then just sort of help us think through what appears to be a little bit of a disconnect between that really nice rise in the backlog and then sort of looking at the normalized free cash flow number of $480 million or total of $ 350 million next year, if I am looking at that right. Can you help us understand why that normalized number would sort of look to be down? What are some of the factors? You specifically mention AT&T and the renegotiation or restructuring of that deal might lead to the first half being substantially lower than the second half. Can you just talk to that dynamic and particularly how AT&T impacts it? Thank you.
Tamar Rapaport-Dagim: So thanks, Tom, for the question. So just to clear, between reported free cash flow and the normalized free cash, the main difference is the $120 million of investment in the multi-year development plan we have on the new campus in Israel. So I will refer the rest of my question to the $480 million which is more reflective of the business itself. So what we are seeing is that the new awards, AT&T included as well as some other awards that we are very happy about, does require investments in the upfront, some setup activities that are required, things like building up new sites, new training programs, rebadging employees in some cases, et cetera as well as some function of how the structuring of the milestones for invoicing the customers look like. So think about it as a somewhat of a small period or short period of investment that is quickly coming back in the second half of the year in the form of the cash flow acceleration that we are expecting to see returning in the second half of the fiscal year. We are already to the 100% earnings to cash conversion. And obviously, we will catch up with for this kind of investments later on in their lifecycle.
Tom Roderick: And then, Tamar, as we build our models, do you have a suggestion as to how much of the full year number we ought to backend loaded for the second half? Is that sort of like a 60% number, higher than that? Just ballparking it, what's a good way to think about the way that builds?
Tamar Rapaport-Dagim: I need to think about that. But I would say, probably roughly speaking, I don't know, two-third, but I have to run the model in my head again.
Tom Roderick: Okay. That's helpful. It's a good start. Thank you very much. Nice job.
Tamar Rapaport-Dagim: Thanks.
Shuky Sheffer: Thank you.
Operator: [Operator Instructions]. Our next question comes from Jackson Ader with JPMorgan. Your line is now open.
Jackson Ader: Hi. Thanks. Good evening guys. A question, just to follow-up on the cash flow. Does this then imply that you have kind of two separate headwinds here? So on the one end, you have an increase in the number of investment and also people are pushing out payment terms. Did I hear that correct?
Tamar Rapaport-Dagim: I am sorry. Can you repeat the question? We didn't hear you well.
Jackson Ader: Apologies. Yes. I was just saying, so I just want to clarify on the cash flow. We have, on the one hand, increased investments. And then on the other hand, the renegotiation of the AT&T contract is also kind of a pushing out of invoicing milestones from maybe what you would have invoiced previously?
Tamar Rapaport-Dagim: Yes. It's a fair description. It's a combination of both.
Jackson Ader: Okay. That's fair. And then so when we think about the $100 million or so roughly, just like the year-over-year decline in normalized free cash flow, I mean how do you guys think about the payback or the return on that increased investment from the reduction in cash?
Tamar Rapaport-Dagim: In general, when we look on deals with customers, many of our of our customer deals are multi-year deals, whether it's a large transformation that can take beyond one fiscal year or definitely multi-year engagements that includes managed services. So from our point of view, of course, we look on the cost of capital of the company and make sure that after taking that into consideration, looking on the opportunity to create the margin of the relationship as well as the parameters of the specific deal plus additional potential activities we see beyond that, that it makes sense for us to do that. So that would be always the case and whenever we go, sometimes when we go into new relationship that starts with a transformation project, as we always explained in the past, a transformation project is usually the differentiator that we can penetrate the new customers with but it's also lower in margins relative to the later recurring revenue managed services opportunities. And our track record shows that with many of the new logos that we achieved in the last couple of years, often times through a win of transformation project, we managed to expand this relationship to recurring revenue to additional app sells as well as managed services. We talked about it quite a lot, I think, in the last quarter, giving some examples of customers in APAC that we won in the last several years of new logos expanding this relationship to managed services. There are also good examples here in the States, for example U.S. Cellular started with a transformation project then shifted gears to be more of a managed services agreement and now we are already in a more mature phase of the relationship moving into the next cycle of modernization and we just release today an announcement of an expansion of the managed services engagement there. So I am just giving you color around what kind of expectation we have when we go into a customer relationship. Usually, the longevity of relationship we have with customers runs over decades. So again, when we are looking on ROI, we don't necessarily think about it in the context of decades, don't get me wrong, we want to see the ROI faster, but definitely the track record shows that any new relationship evolves later on to a long term relationship.
Jackson Ader: Sure. Okay. All right. That was helpful, Tamar. Thank you.
Tamar Rapaport-Dagim: Thank you.
Operator: Thank you. And our next question comes from Shaul Eyal with Oppenheimer. Your line is now open.
Shaul Eyal: Thank you. Good afternoon Tamar. Shuky. Congrats. So really going back to Tom's commentary about the backlog, really a flurry of contract announcements, renewals, AT&T, T-Mobile, U.S. Cellular obviously contributing to the healthy increase the $90 million mentioned sequentially this quarter. When we think about it also from a deferred revenue perspective and I know DOX is not the best example given the business model, but should can we reconcile that growing backlog number on the one hand, with the fact that short and deferred revenue kind of still relatively low? And I know many of us here cover big enterprise software companies, different business model. But help us, may be Tamar, to address that point?
Tamar Rapaport-Dagim: So Shaul, in our business model, unlike pure software players, I don't think deferred revenue is a leading indicator and I don't think you should look for that correlation because, you know, it's not model where we see mainly maintenance and license upfront which creates those deferred revenue balances you would expect in a software company. I believe that in our case, actually the 12-months backlog is a much better leading indicator. And in terms of the relationship of project ramp up to both deferred revenue and unbilled revenue, it's a mix of how the revenue recognition is progressing relative today with invoices. But unfortunately in our case, usually the customers expect to see some deliverable before we can invoice. So that means that over a project lifecycle, usually there is a lag between the revenue recognized and when we can actually catch up with the invoicing. Hence the phenomenon that we are seeing where we have such a great win rate with transformation projects which we is great news for the company and as I explained before, usually the beginning of the relationship or the expansion of relationship with a customer that leads later on to more business, yes, in the shorter term of the project lifecycle, usually, we are moving with certain lag between revenue recognition and the point of invoicing. Nevertheless, obviously given the track record that we have of executing on this project, giving the strong position of the customers that we serve is maybe just a lag in timing, that is catching up pretty quickly.
Shaul Eyal: Absolutely, completely, completely understood. And thank you so much for this color. Right on, absolutely. And Shuky, maybe slightly more from a macro perspective and going back to this slurry of renewals and the new announcements, should we look at Amdocs as some sort of a leading or a lagging indicator into some of the trends that are taking place within the telecom arena, at large and maybe specifically as it relates to the U.S. telecom and cable market?
Shuky Sheffer: I am not sure I understood the question.
Shaul Eyal: Everything that we --
Tamar Rapaport-Dagim: I think, Shaul -- I am sorry. Go ahead.
Shaul Eyal: No. I will just maybe try and simplify that. Given the acceleration that we are seeing with the backlog on the one hand and pretty much with the strong business momentum and contract announcement, in you view, is Amdocs some sort of a leading or a lagging indicator from an economic perspective into 's is happening on the broader telecom arena and to an extant what's happening specifically within the U.S. telecom and cable arena?
Shuky Sheffer: I don't know if you can always connect the two, of the macroeconomic situation and Amdocs' success. I can give you one example. If you look at today in Europe. Europe, if you look at the Amdocs display in general, it's pretty much zero growth. On the other had, it's today may be our biggest growth engine and the reason about of the trends in the market. So in Europe, the trend in the market is convergence. All the big companies, obviously Vodafone included, we talked about Vodafone Germany, which is a significant part of Vodafone in general and is doing one of the most complex transformation getting the Vodafone mobile, fixed line and old LGI consolidate to one consumer experience, which is very, very big transformation. So not always you can find the correlation between the macroeconomics and Amdocs' success. As I said in my script, I think it's what is nice. Because when we look ahead, we see pretty much growth across the board. So we see modest growth in North America. We see very accelerated growth in Europe. We see growth in the rest of the world. So overall, I think, we are pretty happy with the way they are balancing the growth activities that we do across the board.
Shaul Eyal: Thank you so much. Well done. Congrats.
Shuky Sheffer: Thank you.
Tamar Rapaport-Dagim: Thank you.
Operator: Thank you. And our next question comes from Tavy Rosner with Barclays. Your line is now open.
Peter Zdebski: Hello. This is Peter Zdebski, on for Tavy. Thanks for taking my question. We were wondering if you could provide any color back on cash flow on any factoring that in 2019 and perhaps specifically how that might have compared to 2018? And then I have a follow-up.
Tamar Rapaport-Dagim: So as we said in the beginning of 2019, our expectations for stronger cash for the year as well as that indeed what's happened has actually happened despite the fact we used small amount of factoring for practical reasons and even smaller than 2018. So in total, it was a headwind rather than a tailwind. But overall it was immaterial.
Peter Zdebski: That's very helpful. Thank you. And then one follow-up. Have you seen any incremental or can you give any incremental color on traction with NFV?
Shuky Sheffer: So I think as mentioned before, we signed another NFV deal this quarter with VodafoneZiggo, which is important because this is a sales deal that we did with Vodafone and I hope which represents for us opportunity later on. So we see couple of deals every quarter. And the traction of NFV, as we have said before, is slower. I think that the majority of customers move a lot of focus to 5G and building the right monetization solution, charging solution on 5G. In a way, 5G infrastructure, not just the radio, obviously, the core network, by definition is going to accelerate the NFV related activity. But we see good healthy activity. But as I said, the majority of the focus has shifted to 5G deployment and 5G use cases.
Peter Zdebski: Okay. Thanks very much for the color and congrats on the quarter.
Shuky Sheffer: Thank you.
Tamar Rapaport-Dagim: Thank you.
Operator: Thank you. And our next question comes from Will Power with Baird. Your line is now open.
Charlie Erlikh: Hi guys. This is Charlie Erlikh, on for Will. Thanks for taking the question. And sorry if this has been asked before. I joined a little bit late but I just wanted about the 2020 revenue guidance. Given some of the strong wins this quarter with AT&T and a lot of others and the really strong backlog as well, I guess I am a little surprised that the 2020 revenue guidance isn't even higher than it is. Am I getting ahead of myself on these new deals in the backlog? Or are there other things to consider? Thanks.
Tamar Rapaport-Dagim: So we touched on those point that in fact what we are seeing is that a lot of those new activities that we are talking about are going to ramp up more strongly for the second half of the year. So we do expect acceleration and that some of these strength in the backlog would put its direction into revenue recognition more in the second half of the year. So I think that's a simple answer between what we talked about in terms of the wins as well as the backlog increase relative to the revenue expectations.
Charlie Erlikh: Okay. That makes sense. And then just a quick housekeeping question. Could you tell us what the cash interest paid was in the quarter?
Tamar Rapaport-Dagim: Cash interest paid, I have to admit I do not remember. But it is immaterial amount, for sure.
Charlie Erlikh: Okay. All right. Congrats on the quarter. Thanks for taking the questions.
Shuky Sheffer: Thank you.
Tamar Rapaport-Dagim: Thank you.
Operator: Thank you. [Operator Instructions]. And I am showing no further questions in the queue at this time. I would like to turn the call back to Matt Smith for any closing remarks.
Matt Smith: Thank you very much for joining our call this evening and for your interest in Amdocs. We forward to hearing from you in the coming days. And if you do have any additional questions, please contact me here at the Investor Relations group. Thanks and have a great evening.
Shuky Sheffer: Thank you.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.